Operator: Good day, everyone. And welcome to the Talos Energy Third Quarter 2019 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note, today's event is being recorded. At this time, I’d like to turn the conference call over to Mr. Sergio Maiworm, Vice President of Finance and Investor Relations and Treasurer. Please go ahead with the conference.
Sergio Maiworm: Thank you, operator. Good morning, everyone and welcome to our third quarter 2019 earnings conference call. Joining me today to discuss our results are Tim Duncan, President and Chief Executive Officer; and Shane Young, Executive Vice President and Chief Financial Officer. Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are set forth in yesterday's press release; on Form 10-Q for the quarter ended on September 30, 2019, filed with the SEC yesterday; and on Form 10-K for the year ended 2018, filed with the SEC on March 13, 2019. Any forward looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures was included in yesterday's press release, which was filed with the SEC and which is also available on our website at talosenergy.com.  And now, I'd like to turn the call over to Tim.
Tim Duncan: Thanks, Sergio, and thank you, everyone, for joining our call. It is a pleasure to discuss our third quarter, which is highlighted by another positive earnings quarter, bolstered by solid free cash flow generation, and numerous positive milestones related to our capital program, with more discoveries leading to developments than we had originally anticipated, which we'll discuss in more detail. During the quarter Talos continued to generate solid financial results with strong production rates and high margins, driven mainly by premium price realization in our conscious cost management efforts. Despite the production impacts associated with Hurricane Barry, we generated sustainable free cash flow while continuing to invest in several of our key projects for the year, namely Bulleit and Orlov in the deepwater U.S. Gulf and Zama appraisal in Block 7 and Block 31 in offshore Mexico.  On the business development front, we executed agreements with both BP and ExxonMobil, respectively, related to exciting exploration opportunities. Finally, on the balance sheet front, we substantially increased our liquidity with a borrowing based commitment increase in the third quarter. Our leverage metrics continue to improve with net debt to last 12-month EBITDA at 1.1 times. So, let's turn to the quarter highlights. Production was 52,600 barrels equivalent per day, which is 73% oil and 80% total liquids, and generated revenue of approximately $229 million. As we stated in our last earnings call, we knew Hurricane Barry would impact third quarter, forcing us to shut in approximately 85% of our production for about a week in July and causing approximately 4,000 barrels equivalent per day of production deferment in the quarter. Our current and third quarter action production rate are back to the normalized 56,000 to 57,000 barrels equivalent a day. WTI prices in the period averaged $56.45 a barrel but our realized price was $59.54 a barrel after deductions, so a net of over $3 premium to WTI, which represents one of the benefits of our asset base because the quality of our oil and our access to infrastructure which leads to premium pricing. Adjusted EBITDA for the quarter inclusive of our hedge settlements was approximately $158 million. It was $152 million excluding the realized impact of our hedges. The EBITDA margin or cash margin was $32.57 per Boe hedged and $31.47 per Boe unhedged. Although we had a 69% adjusted EBITDA margin, which includes negative impacts from hurricane Barry, those onetime reductions were offset by seeing impact of cost savings initiatives within our operating cost structure. We invested $116 million in our third quarter in our capital program, inclusive of our P&A activities. Of this approximately $100 million was deployed in the U.S. Gulf of Mexico while $16.1 million was spent on our efforts in offshore Mexico where we had further success in our Block 31 exploration campaign and associated evaluation program, which concluded in October. As of the end of the third quarter, we maintained over $600 million of liquidity following an increase in our borrowing base commitment to $850 million, which we announced earlier in the quarter. The Company's net debt balance is approximately $705 million, and leverage as measured by net debt to trailing 12 months EBITDA was 1.1 times. We continue to closely monitor and maintain a conservative balance sheet which we believe is amongst the best in our peer group. We also continue to add to our 2019 to 2020 hedge position in the quarter, and Shane will provide those details shortly. We completed two separate transactions with BP and ExxonMobil, respectively, which will provide exposure to material exploration prospects with potentially significant resource volumes. In our Green Canyon area, we acquired the Hershey prospects from Exxon, which lies on four contiguous blocks, which is over 23,000 gross acres, immediately adjacent to several of our key Green Canyon area assets and infrastructure. The agreement is structured with the contingent payment that requires no upfront consideration and no drilling obligations, but rather earn-out payment if certain success milestones are achieved, which adds optionality and flexibility. We are now looking to bring a partner into the project to join us. It is our second exploration-related transaction with Exxon in 2019, and the third overall transaction with the company in the last 18 months, including Ram Powell. We executed a farm-out agreement with BP related to the Puma West prospect, also in our Green Canyon core area. This prospect is situated on exploration acreage that we acquired through our combination with Stone Energy. After we reprocessed our seismic over the block, we were encouraged with the exploration potential and the sub-salt Miocene window, and prospective targets similar to those found in BASIS POINTS' Mad Dog field to the east. After permitting the well, we engaged with BP to expedite project execution ahead of the lease expiration. Shortly after executing our transaction with BP, the well spud in October. Chevron has since joined the partnership with a 25% working interest in the project from BP, bringing the final working interest levels to 50% BP as operator, 25% Talos, and 25% Chevron. As mentioned previously on the call, we also had exploration success in offshore Mexico in the third quarter and our shallow water Block 31 Xaxamani exploration campaign, which consisted of the Xaxamani-2 and the Tolteca-1 wells, both of which achieved better than expected results. The Xaxamani 2 well had 148 feet of gross TVD pay with a 78% net to gross ratio in two shallow oil sands. In the Tolteca-1 well, the objective was to further delineate the deeper of the two sands found in the Xaxamani-2 well, more outboard of the first of all, possibly defining the reservoir limits within oil-water contact. What we found was a thicker than expected pay sand with 120 feet gross TVD pay and a very encouraging 95% net to gross, all in the deeper target and without an oil-water contact, increasing the potential size of the resource. So, as we pull the geological data set together prior to disclosing the resource potential, we’re encouraged not only by the results here, but how this success could open up other shallow oil targets with similar geophysical characteristics on the contract area. The discovery is located in less than one mile from shore and in less than 100 feet of water. So, much shallow water than what we are doing in the Block 7 area where Zama is located. Because our activity in Block 31 was part of 25% cross assignment trade with our Block 2 contract, Talos has now drilled eight wells across three different offshore contracts, reinforcing our belief in the potential of offshore Mexico. In our offshore Mexico Block 7, as I mentioned on the last call, we continue to be very proud of the execution of the appraisal program in Zama in the first half of the year. The geological data set we've collected there is unprecedented for an appraisal program in offshore Mexico. We are continuing to advance our predevelopment work and anticipate a third-party reserve estimate by [indiscernible] by the end of 2019, providing an independent view of the resource potential.  We also filed for and received a two-year extension of the primary term on Block 7 in the third quarter, which will allow us to test other exploration ideas on the block through September 2021, including our Xlapak and Pok-A-Tok prospects. So, several moving pieces and upcoming milestones on Block 7, including our ongoing unitization discusses with Pemex, all of which -- all of with the hope of reaching FID in 2020. Some of the other additional highlights across our core areas. The Green Canyon area, which includes the Tornado field in the broader Phoenix complex, as well as our Green Canyon 18 field accounted for net daily production of 19,700 barrels equivalent day. Following the previously announced success of Bulleit and Orlov projects, we believe those discoveries can each generate gross unrisked production of 7,000 to 10,000 barrels equivalent per day once brought on line. We expect Orlov to begin first production early in the first quarter of 2020, ahead of schedule, and Bulleit to follow in the third quarter of 2020. The Mississippi Canyon core area which includes the Pompano, Amberjack, Ram Powell and Gunflint deals, had a total net production of 19,000 barrels equivalent a day in the third quarter. In our Ram Powell asset, work is ongoing to host production from the Stonefly subsea project, which is expected to come on line in the first quarter of 2020, will become another source of income for Talos, as the Stonefly operator will pay a production handling fee and their proportionate share of the operating cost of the facility. Our shallow water and other core area accounts for both our shallow water assets as well some small deepwater assets. This core area produced 13,900 barrels equivalent a day in the quarter. During the quarter, we commenced production from one well in our Ewing Bank 306 field and also drilled and completed our Grand Isle 82 well which initiated production in October. Asset management activities, our asset revitalization and maintenance program generated 2,700 barrels equivalent a day gross or 1,500 equivalent a day net in the third quarter at a highly economic conversion cost of 3,400 per Boe per day. As we begin to look forward, we're finalizing contractual terms for two rigs related to our 2020 drilling plan. Among those, we expect to utilize a platform rig for near-field exploration in our Green Canyon and Mississippi Canyon core areas, starting with the Green Canyon 18 platform. We also expect to sign a contract for a deepwater rig in the coming weeks. The deepwater rig contract will commence in 2020. And we will utilize the rig in the Bulleit development in next year's deepwater projects, which we’ll announce in due course. As always, our goal is to build a capital program that combines asset redevelopment and near infrastructure drilling for short turnaround to production, while also allocating capital to high impact exploration projects, all targeted inside generated free cash flow, and we look forward to providing more details on our next call. In summary, we believe it's been a highly successful quarter for Talos, despite the material weather shut-in. We continue to deliver solid financial performance, generated free cash flow in the U.S. business while investing for the future on both sides of the Gulf, and drilling opportunities and business development activities, while also maintaining financial discipline with sustainable liquidity and low leverage. We continue to remain excited about the Company's prospect for the remainder of 2019 and into 2020, and continue building resilient and highly profitable company with attractive prospects for the future to drive shareholder value creation. I'll now turn it over to Shane to discuss the details of our financial results.
Shane Young: Thank you, Tim. I'd like to take a minute to review the third quarter results and then touch on our liquidity, hedging and 2019 guidance. As Tim highlighted, Talos recorded adjusted EBITDA in the quarter of approximately $158 million. This equated to $32.57 per Boe margin or 69%. These results reflect our solid quarterly production, which included the impact of Hurricane Barry, the pricing premium we realized, the WTI, which for the quarter was $3.09 per barrel, after transportation and other deductions, and a continued focus on cost control throughout the entire business. This cost control kept LOE under $10 per Boe and cash G&A at approximately $3.18 per Boe, including the effect of the deferred production from Barry. Excluding these deferments, LOE per Boe would have been in the low-9s and G&A per Boe would have been below $3. Net income for the quarter was approximately $73 million or $1.35 per diluted share. As Tim mentioned, capital expenditures for the third quarter, which included just over $22 million for P&A or approximately $116 million. This figure includes a little more than $16 million spent in Mexico during the quarter. Despite deferred production from the Hurricane, Talos generated positive free cash flow for the quarter, and we expect this to continue to be the case in the fourth quarter. From a balance sheet perspective. We ended the quarter with $795 million of total debt. This includes approximately $83 million for our finance lease on the HP-I. Adjusting for cash of approximately $91 million, our net debt to LTM adjusted EBITDA was 1.1 times. Turning to liquidity and hedging. As of September 30th, we had $612 million of total liquidity. This included $521 million of undrawn capacity under our RBL. We continued opportunistically layer in additional hedges during the quarter, adding almost 2 million barrels and 2.75 million MMBtu during the quarter at a weighted average price of $55.40 and $2.45, respectively. Please refer to our 10-Q filed last night for additional details on our current hedge position. Reflecting on our guidance for the full year 2019, we expect production to come in near the low end of our full year range. This is primarily due to the previously disclosed production deferrals related to Hurricane Barry and unplanned shut-in at Pompano during the first half of the year, as well as Boris 3 production leveling out near the low end of our original expectations. We expect LOE and G&A expenses to come in near the low end of our guidance as a result of continued cost control. While work over and maintenance expenses will likely be near the higher end of our previously disclosed range, including the impact of an additional $2 million of expenses related to Hurricane Barry. We expect that our full year capital expenditure guidance will be supplemented by 3 main factors: First, our previously announced participation in the Puma West project with BC; second, the expected full realization of test based capital in our Bulleit, Orlov and Ewing Bank 306 projects; third acceleration of capital from future years in non-op activities, primarily Orlov. We now expect accelerated first production at Orlov in very early 2020. This brings total 2019 expected capital expenditures to $540 million to $550 million for the year. Finally, we're pleased to see Talos added to the S&P 600 SmallCap Index on November 1st. We believe being added to the index will broaden our investor base and enhance the trading liquidity of our shares. With that, I'd like to hand the call back over to Tim.
Tim Duncan: Thanks, Shane. And in conclusion, we believe the third quarter of 2019 was an important one for positioning Talos for success moving forward. Despite production disruptions, we delivered solid operating and financial performance while maintaining a conservative balance sheet. We had consistent success with drill bit on both sides of the Gulf of Mexico, declaring several new discoveries with potential for near term production additions next year. Finally, we continue to be active in adding to our portfolio of growth opportunities. We are pleased with the performance for the quarter and look forward to closing out 2019 successfully. And with that, I'll turn the call back to the operator and open the line for questions.
Operator: [Operator Instructions] Our first question today comes from John White from ROTH Capital. Please go ahead with your question.
John White: Good morning and glad to see everything is going well for you, guys.
Tim Duncan: Thanks, john.
John White: I have to ask, I didn't see it in the press release, Block 31 looks like some very strong and encouraging results, any test data that you can disclose?
Tim Duncan: Yes. So, I think, what we have disclosed speaks to the content of the reservoir rock, the fact we had two wells. Those wells came in as planned, the second well actually came in thicker than we expected, and again further away than the first well. So, the fact we didn't reach the reservoir limit is as highly encouraging, One of the biggest reasons we're kind of stopping there with this resource is we actually -- the discovery looks like it goes out of our geophysical range is as actually part of this, it's not covered by seismic. We need to build that hole a little bit. That's going to take just a little bit of time. Again, that's actually a positive. This thing is bigger than we thought. All that's in the contract area to be sure, but just a little bit of work there. So, working with our partners who is sensitive about kind of what we disclose here, just making sure we update you guys and say, look, we think we've tapped into a shallow oil play, it's bigger than we expected. It was a great trade that we did in terms of Block 2 and Block 31. And we think it's typical when you're developing, one think about the space and John is what we're trying to do here is opened up the lower Pliocene through the middle Miocene in offshore Mexico. A lot of times we're opening up those plays, you're trying to calibrate geophysical amplitudes, you're trying to chase shallow stuff, if you can chase it, deep stuff where it's appropriate. The fact that we think we tripped into a shallow oil play here is pretty exciting as we move forward. But I think what we've disclosed is the appropriate disclosure for where we are right now.
John White: I can appreciate that. Thanks for the detail. 
Tim Duncan: Sure, John.
Operator: Our next question comes from Jeff Grampp from Northland Capital Markets. Please go ahead with your question?
Jeff Grampp: Good morning, guys. I was curious as you're starting to put together the 2020 plans here, don't want to tie down too specifically to a number, I know it's still early days. But, can you give us a sense maybe directionally 2020 CapEx relative to 2019, give a sense, if it's going kind of similar levels, or if it's going to go, up or down, or just in any kind of, I guess, early time commentary would be helpful.
Tim Duncan: Yes. Look, I mean, obviously, we typically guide that in the next call. I think, what we're trying to work through is, when we look at the base production we have now and I think I mentioned in my remarks that we've kind of restored all that hurricane stuff, and you can see that there. And then, we look at the projects, we know we want to develop, obviously, and in some of the prospects we know we want to drill through. You got to try to balance the general view of we want to keep the same free cash flow positive. So, you've got several working schedules. We talked about entering into these rig contracts. We're going to try to keep those contracts flexible. Obviously, the first dollar is about maintenance, the first dollar is about hooking up the things we have, and then we think about where we can balance the high impact exploration. I don't want to guide whether I certainly wouldn't see it going substantially up. I don't want to guide whether it's flat or down until we kind of wrap up those processes. But, nothing changes in terms of how we think about this. We've got projects we want to get on line. We've got some near infrastructure drilling, we want to make sure we execute every year and then we want to balance some high impact stuff, because that's the benefit we think of the Gulf of Mexico. We think there is a higher ceiling on the potential from an exploration perspective, and we want to make sure we sprinkle that in when we develop these plans, some of those who want to talk to our partners with as well. So, we're right in the throes of it. I think, the tenant that you can rest easy on is, again, we're obviously generating a lot of free cash flow in the Gulf of Mexico business this quarter, expect to next quarter. We're going to build a plan that expects to do that again in typically kind of that $55ish environment. 
Jeff Grampp: And my follow-up on Puma West. Curious if you can kind of talk about generically what the timeline looks like? And do you have a sense? I know ultimately, it’s a BP operated project, but if you find oil there, what that timeline kind of looks like to when first oil could potentially be achieved, given the fact there's obviously some not too far away existing production and infrastructure?
Tim Duncan: Yes. There are some things related to that project that we probably would keep confident right now. I think, what makes it exciting is really, if you follow BP's general public remarks, they spend a lot of time and a lot of money, and a lot of research and development around seismic imaging. And you know, that's a specialty of ours, definitely work on it all the time. They work on it at an even higher level. And so, we saw something here in our efforts that we thought was interesting. We did have an expiring lease, a lease that we picked up due to combination with Stone, primary term expiring lease. And we started permitting that and BP called us. And that's again another neat thing about what we do here offshore, that you've got someone with the sophistication of BP calling us and saying we're willing to move a rig around and put that on your acreage set, because we think what you're holding is interesting. Now, depending on what happens, it can go several different ways. First, you have to be lucky enough to have success. So, exciting as this is, as interesting it is that we have BP and Chevron and these folks in here, obviously, we’ve got to have some success. If we do, as you know, BP's building a second production unit related to the Mad Dog area. That's interesting. There's other assets in the area, some of those operated Oxy. That could be interesting. But, I hate to say this, and I'm not trying to avoid the question, but you really have to find out what you have and what you're trying to do. But, what I would say is, even in a case where it's quite large, there's still a lot of infrastructure in play. This is an area that actually is still with various infrastructures that’s put in, in the last 5 to 10 years. So, I think we're going to have plenty of options. I think, this really comes down to are we going to be lucky enough to find something as material as we hope it could be.
Operator: Our next question comes from Marshall Carver from Heikkinen Energy Advisors.
Marshall Carver: My question on Block 31 was already asked. But, I did have another question on NGL pricing that it's not a big part of revenues, but it did took a sharp decline from Q2 to Q3, more than sort of benchmark pricing did. Do you have any color on go forward NGL pricing, like how should we think about Q4 or was there anything special going on in the third quarter?
Shane Young: Yes. Marshall, Shane here. So, pricing was soft. I think, you've seen this sort of as a phenomenon sort of impacting a lot of players in the industry, not just Gulf, maybe even not as bad in the Gulf I would say in the third quarter, that a part of that impact was a result of a PPA related to some historical financial bookings. And so, I would think we would carve that back as we get into the fourth quarter and beyond. So, I think the actual realized were probably a little better than the front due to that. But like I said, a small part of the overall revenue mix.
Operator: Our next question comes from Richard Tullis from Capital One Securities. Please go ahead with your question.
Richard Tullis: Hey. Good morning, Tim and Shane. Looking at the Zama unitization process, any additional details could you provide there and just how the process is going, and maybe updated timeline on when you might expect to get to finalizing an agreement there? 
Tim Duncan: Yes. Good morning, Richard, by the way. I think if you go back and look at a couple of our decks, and I'm sure they're on the site, you can go grab them. We have a kind of a condensed timeline on that project which set some expectations to what we like to achieve in terms of FID. And if you look at that slide, and again, I encourage you to go look at it, and Sergio can make sure you have it. There's three processes we're doing at the same time, and they're all concurrent with one another. One is, again, we've had -- over, we actually took them out, by the way, separate issue, but we took them out to the core lab to look at the cores. And that's always a fun field trip because those rock properties are so outstanding. So getting those to confirm the resource, putting that out there as a goal, put at the end of the year, that's a milestone that's in our control. We're working on the development plans. We're working on terms of getting things drafted and getting everything ready to submit that development permit to the government when we wrap through unitization. Again, more in our control, we're confident about this thing. Then, we go through the unitization. I think, I've said it in the past Richard, and I’ll repeat it because I think it's worth repeating is that everything we do here or many of the things we do here, I probably shouldn't say everything, we're doing at times for the first time, and offshore Mexico, and this negotiation is definitely something that is the first in the history of offshore. Mexico is certainly the first one Pemex has had to do. And so, there's a cadence to this, and there's an ebb and a flow. And there's a lot that we discuss. We discuss technical items, we discussed commercial items, obviously, the two biggest things, we have to work through is initial equity splits operatorship, and then we work through ultimately how to re-determine those equity splits. And that's common in every unit negotiation. Keep in mind, we spend all the money today, and we've taken all the risk today. So, we feel good about our position, but we're mindful and respectful of Pemex. You know, they have a desire to drill a well, we understand that. We've talked to them about whether that's necessary or not. But we understand the pride they have in wanting to contribute some data to the conversation. And so, we just have to work through that. But, I think I'm not changing our general goals here, Richard, and I'm not changing that chart, if you will, that you see on that slide, because we can't control the other two issues that as soon as we wrap up the unitization we can immediately put this into the development process with the government who I think has been very mindful of those permits and done a good job approving those permits and still stay on track with kind of that second half of the year FID. So, I'm not changing that yet. The unitization is a process in and itself. And we're working hard every day with Pemex to try to work through that as quick as we can. 
Richard Tullis: Thank you, Tim. That's helpful. And just last for me. Can you provide some thoughts on just the current landscape for the cost side of things, particularly since you're going through the rig negotiations currently?
Tim Duncan: Yes. So, a couple of things. I mean, I think, cost is crept up picked up a little bit. I don't think that's an uncommon statement. I would tell you because they have, a little bit on labor, a little bit on boats and transportation, a little bit on rigs. When I think about it on the OpEx side, just a fact that our team’s doing such a good job on cost control, I think speaks to their effort when we're able to do that in the face of, slight increases in cost to goods related to our general operating cost structure. So, I just want to take an opportunity to continue to recognize their efforts. On the capital side, when you think about rigs, you can look at these facts as fast as I can. So, we probably have access to the same resource. I think utilization in the Gulf has gone up recently. I think it's up as high as 95%, maybe this time last year is around 75%. So, you're going to see when you have utilization go up a little bit of increase in price. I think, the active rate is right now, maybe in the high 180s and that could creep into the low 200. Couple of things I would say on that. One, that's a manageable price. Until I think the reason that that inflation is manageable is because I think the nature of the contracts that us as operators are entering into are little different than they were five, six years ago. Shorter terms more flexibility. So, even though you're seeing the unitization creep up. I do think you're seeing the flexibility on the contracts and we’re more in the operators favor, because I think there's just less operators. And I do think there's a series of rigs coming into the market in the back part of 2020. So, again, a little bit of inflation but it's manageable for the different variables that I just discussed there.
Operator: [Operator Instructions] Our next question comes from Sean Sneeden from Guggenheim. Please go with your question.
Unidentified Analyst: Good morning, guys. This is [Indiscernible] filling in for Sean Sneeden. So, Tim, we were just wondering how you think about maintenance capital for the business. I know there's a lot of moving parts there. But, should we think the [technical difficulty] proxy?
Tim Duncan: Look, I think, like everything else that can be a little lumpy. I think I've seen quarters where it's somewhere between $14 and $18. Look, that's a whole different, almost offline discussion. I don't think that's unreasonable. And I think, when you look at our operating cost and the way we're managing our margins, you think about those margins, and how we reinvest that into again the pillars that I talked about with respect to first focusing on development and then focusing obviously we have P&A and those types of things. Everything's in that number. So, again, I don't think that's an unreasonable number and a decent way to think about it. I think, what we try to remind folks of is there's a lot of capital that we spend that doesn't actually go into production. Again, we have P&A capital we need to spend. We have typically some capitalized G&A. We might have some other kind of maintenance items. But, typically, we're able to do that and still grow the business. I think, it's probably around two thirds from a maintenance perspective. But, again I probably not -- you don’t focus on it every day, but probably two thirds of EBITDA gets you there. And that's kind of one of the tenets of how we build the budget going forward.
Operator: And our next question is a follow-up from Jeff Grampp from Northland Capital Markets. Please go ahead with your follow-up. 
Jeff Grampp: Hey, guys. Just one quick one. On the debt side of things. Can you talk about any recent thoughts on potentially refing the bond? Is that something you guys are monitoring closely? Is there enough term where that's not kind of I’d say maybe a near term focus of Shane here, just kind of any thoughts you guys have on that?
Tim Duncan: Yes. Look, I'll let Shane give you his thoughts. I mean, first question is, do you monitor the high yield market closely? I think, the answer is absolutely yes, and everybody does. But Shane wants to kind of give you feedback as well.
Shane Young: Yes, absolutely. Look, I would agree wholeheartedly with what Tim says that we do something we watch, something we talk to a lot of guys that are in the market about fairly frequently. I'd say, as we think about the capital structure broadly, we're really focused on three things. The first is low leverage. We think we're there, we like where we are. Second, high liquidity. We think, we like where we are there as well. And the third is maturity profile. And so, that's something that we intend to work on as soon as we have a market opportunity to do it.
Tim Duncan: Yes. I think, the other thing I would say, Jeff, echoing some of Shane's comments. You look at -- and again, I would encourage you to go look at a presentation out there, but, I think, at $55, the value of our reserves is $3.5 billion. I don't have the exact number, but the value of PDP reserves is over $2 billion. And we've got pretty low leverage and a heck of a lot of asset coverage rate and pretty expensive notes. And that's not a combination I'm fond of. And so, you know, if we can figure out how to right size that and get the right cost of capital, we would absolutely access that market.
Operator: And ladies and gentlemen, at this point I'm showing no additional questions. I'd like to turn the conference call back over to management for any closing remarks.
Tim Duncan: I appreciate that. Again, thank you everybody for joining the call. We love the Q&A and happy to answer those questions. And we appreciate everybody's interest in the Company. And we're excited about where we're going from here. We look forward to talking to you guys again in the next quarterly earnings call.
Operator: Ladies and gentlemen, that does conclude today's conference call. We do thank you for joining today's presentation. You may now disconnect your lines.